Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q3 Dassault Systemes Earnings Presentation. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] And as a reminder, this call is being recorded. I would now like to hand the conference over to your speaker, Francois Bordonado. Please go ahead, sir.
François-José Bordonado: Thank you, Maria. Thank you for joining us on our third quarter earnings conference call, with Bernard Charlès, Vice Chairman and CEO; and Pascal Daloz, Chief Operating Officer, and CFO. Dassault Systemes results are prepared in accordance with IFRS. Most of the financial figures discussed on this conference call are on a non-IFRS basis, with revenue growth rates in constant currencies, unless otherwise noted. Some of our comments on this call contain forward-looking statements, that could differ materially from anticipated results. Please refer to today's press release under Risk Factors section of our 2019 Document d'enregistrement universel, our regulatory Annual Report. Both earnings materials are available on our website, and these prepared remarks will be available shortly after this call. I would like now to introduce Bernard Charlès.
Bernard Charlès: Thank you, Francois-Jose. Thank you for joining and good morning or good afternoon to all of you. We hope everyone is keeping well. The pandemic continues to present challenges for people and for companies of course, with a second wave now affecting a number of countries. I think our results again highlight our resiliency, especially thanks to our recurring software revenue and operational management. At the same time, our presentation today will display, we bring significant value to the three sectors of the economy we serve. Our key metrics for the quarter came in largely aligned with our expectation. The total revenue was up 22% in third quarter, and represented 91% of total revenue. License activity saw an improvement over the second quarter. At the same time, our assessment is that the recovery in spending conviction by clients will take longer in general, with decision-making visibility very different across industries, and industry sub-segments. Thanks to our saving program, as well as by the way, diversity and diversification, we are able to offset this slower recovery. The resiliency of our financial model was evident, with recurring revenue up 4% on an organic basis, for both the third quarter on a nine-month period, including Medidata; software revenue grew 32%, well in line with our guidance. Year-to-date recurring revenue represented 83% of the total revenue. Demonstrating our operational management, both our operating margin and earnings per share, came in at or above the high end of our guidance. Looking at the year, we are confirming our EPS objective of 2020, with growth at about 3% to 5% in constant currencies, aligning well to the financial framework that Pascal introduced in April, as the pandemic spread across the world. Our work with clients on industry sectors demonstrate the direction of our investments in our industry solutions, aligned with our strategy, that is in three words human centric innovation for passion. For customers, as well as for citizens, with 3D experience platform as one single platform, to bring together all aspects of the business. The Life Sciences industries are mobilizing to accelerate research and innovation on the pandemic is activating the shift to virtual. It has shown how much digital technology in essence can provide concrete answers for the continuity of clinical trials. In Life Sciences and Healthcare, we bring significant scientific assets with our MEDIDATA, BIOVIA on science cloud, as well SIMULIA brands. We are benefiting from our competitive strengths and increasing relevance as a strategic partner to the Life Sciences industry. Today I want to share briefly, three examples of our work with this brands on industry solutions. Janssen, a pharmaceutical company within Johnson & Johnson, signed a multi-year extension with Medidata, to use its next generation unified platform for clinical development. This is a significant contract in size, reinforcing the long-term relationship between the two companies. In the Americas, world class researchers at Incyte, focused on transforming the treatment of cancer on inflammatory and autoimmune conditions, are using our ONE Lab industry solution experience, with BIOVIA enabling faster innovation by connecting research and development and manufacturing teams, to simplify technology transfer and optimize biologic processes. Abbott, the third example is expanding its use of SIMULIA to drive increased virtual testing, replacing bench testing which is more difficult to do at the time of COVID-19 and far more expensive. Historically simulation has not played a large - has a large role in life science, as we have seen in other sectors, like automotive and aerospace or space at large. SIMULIA's capabilities enable it to simulate the human body, medical and surgical equipment as well as its use. Finally, in addition to our scientific brands, our coverage of pharmaceutical and medical devices companies benefits from our Mainstream market, SOLIDWORKS, ENOVIA, and DELMIA brands as well. Moving to infrastructure and cities, let me share some updates. In France, SNCF, which is basically the railway transporter in France, has selected 3DEXPERIENCE of rolling stock especially - selected the 3DEXPERIENCE platform on the cloud, as part of its digital transformation program. The role is to use big data information from trains in operation, to implement predictive maintenance and increase quality of service. This will allow it to rethink its management of rolling stock and increase its reliability by detecting warning signals and malfunctions, thanks to the data collected throughout operations. While we are at the early stage of our long-term objective for this sector, our solutions appear well adapted, with a number of industry startups adopting our 3DEXPERIENCE industry solutions on the cloud, we can become game changers in construction infrastructure and cities. These companies include Branch, a large scale 3D printing, KREOD organic architecture ecological, inspired by nature. Turning to our manufacturing sector, our core sector of course for us. We are seeing stable to growing year-on-year software performance in Industrial Equipment, High-Tech, Home and Lifestyle and Consumer Packaged Goods and Retail. Thanks to our broad market reach within transportation and mobility, as well as Aerospace and Defense and Space, we have continued strong investment by pure play electrical vehicle companies, and a good dynamic in space. High-Tech, beginning with the STMicroelectronics announcement, has adopted the 3DEXPERIENCE platform on the semiconductor industry solution experience. ST's strategic focus is on smart mobility powered energy. On Internet of Things, with the 5G technology. ST's objective is to improve its flexibility and respond faster to these dynamic markets. This new engagement will involve a broad scope of users across multi-sites around the globe. This represents a significant expansion of the scope of our relationship with them, and also demonstrating our capacity to be the catalyst for transformation. As we recall last quarter, we announced that Ericsson had begun its roll out of the 3DEXPERIENCE platform as part of its 5G efforts. In the consumer markets, centric PLM continues to expand its leadership. For example, we are very pleased that JD.com, China's number one online retailer and worldwide 20th largest retailer, with annual net revenues close to $79 billion last year, is adopting some centric PLM in one of its private level brands, to cut time to market, reduce costs and drive collaboration. With the increase in e-commerce activities, as a result of, of course the current pandemic, companies need to be able to improve the linkage between the product in production planning and e-commerce in order to speed up introduction of new products to consumers, helping to reduce cycle time. Moving to Aerospace and Defense. In the Americas, we are working with Ball Aerospace, a subsidiary of Ball Corporation. A manufacturer of space craft components and instruments for national defense, civil space and commercial space applications. They have selected the 3DEXPERIENCE platform as their digital engineering collaborative solution. While the commercial sector of Aerospace is under significant pressure, our breadth enables us to capture opportunities across other areas of the industry, from space to IOEV [ph]. Moving from industry sector, let me illustrate how our investment are helping out our - are helping our business to improve the human experience, as patients - as consumers. Medidata, through its efforts is helping the industry to reimagine the future of clinical trials. Earlier this month, my Medidata Live became available to give researchers and patients a way to engage in remote site visits within the platform of site - on patient platform of site, on patient facing technologies that they are already using on the study. Medidata is also further expanding the patient centric commutation, with a recent small acquisition, to enable better execution of remote patient studies. Today about 10% of the clinical trials are using devices to capture real-time information from patients, while they are at home, simplifying their lives. These devices take multiple forms, including sensors, specific equipments of mobile phones, of course. All this data needs to be collected and recorded in a consistent manner, that the software created by MC10, the name of the company, is able to do, thanks to its ability to capture data from any type of device. Our HomeByMe brand, targets professionals as well as individuals which wish to redesign their interior. Aurelie Tshiama, an influencer in the field of interior architecture, gives online courses for the use of HomeByMe, and thus contributes to increase the notoriety of the number of users, and the brand, whose promise is, you're going to love designing your home. Moving to 3DEXPERIENCE on the cloud, just as we are advancing with game changing startups in the infrastructure and city sector, our platform has powered many of the [indiscernible] across virtually all of manufacturing industries. We continue to make improvements to make buying and using 3DEXPERIENCE on the cloud, as simple as the click of the finger, to have access to very powerful software, in the mainstream innovation market served by SOLIDWORKS, we are extending the reach of the 3DEXPERIENCE platform with the 3DEXPERIENCE Works family of solutions, that was announced a year ago. This portfolio represents the most comprehensive cloud-based portfolio offering in this market. Deepcell, for example, a non-invasive genetic testing company, is using SOLIDWORKS and extending now ENOVIA.Works on the cloud. Our upcoming virtual events, Science in the Age of Experience, on Medidata Next Global, underscore the deep scientific orientation of the company. A few words on sustainability. We are convinced that Dassault Systemes can be a tremendous lever for sustainable innovation, to meet contemporary challenges. We are reducing our footprint, with an ambitious CO2 emission reduction target, expanding our handprint, which offers an outsized leverage, compared to the footprint, in the ratio of 1 to 10,000, as released by Harvard's Study through sustainable offers for all the industries we address. And we have joined the Ellen MacArthur Foundation, to build a circular economy. With all of that now, let me hand over the call to Pascal, who is going to give you more insights on the numbers.
Pascal Daloz: Thank you, Bernard. Thank you for joining us today, and I hope you and your family are well. I would like to begin my comments, with a quick overview of our financial performance. First, total revenue was EUR1.030 billion in Q3. Revenue increased 17% in constant currency. Software revenue came in at the middle of our range, while services revenue came in below our estimate, with the largest proportion, confirming the volatility, we were seeing in services activity. We continue to manage well, our cost reduction efforts, while investing into key resources for the future. We captured approximately EUR80 million of saving in Q3, and under EUR100 million for the nine months ended. We are above our full year target of EUR170 million, as we made adjustment in Q3, to align with the market and customer decisions. On an organic basis, operating expenses decreased 3% in Q3. Thanks to this performance, our operating margin came in at 28.2%, about 170 basis points above the high end of our guidance range. For the first nine months, the operating margin was 28.1%. Q3 EPS was EUR0.80, with a negative EUR0.02 currency impact. EPS grew 3% as reported and 8% in constant currency. We were at the high end of our guidance range of EUR0.75 to EUR0.80. Zooming in our revenue by type; first, overall, the software revenue result aligned with our planning, increased 22% in the third quarter and 17% year-to-date. On an organic basis, software revenue was flat in Q3, compared to a decrease of 3% for the first nine months. Licenses and other software revenue came in at the higher end of our planning range, decreasing 11%. Notable improvement came from ENOVIA, CATIA, and SOLIDWORKS. Subscription and support, our recurring software revenue grew 32% in total, and represented 82% of the total software in the third quarter. We saw a solid performance for renewals, both regionally and across most of our brand applications. Our subscription performance benefited by the addition of Medidata, with double-digit subscription growth on a comparable basis. On an organic basis, recurring software revenue increased 4% for both Q3 and year-to-date. Services revenue decreased 15% in Q3, compared to our expectation for flat to growth of 10%. As highlighted, services activity has been volatile, as company adjusts decisions based on most current information they may be seeing. Changes in customer spending plans were small in a month, but taken together, this adjustment added - proportion of the services volumes related to our decisions in the quarter to continue with some strategic client activities, in order to maintain the multi-year project timeline, keeping our staff in place and absorbing some of this cost. Moving to our regional software review, let me share first hand, on the impact of the pandemic in Q3 compared to Q2. Beginning first with Asia; software revenue growth improved to 10% in Q3 from 3% in Q2. The best performing regions were China, Korea, Asia Pacific South. And overall, the license revenue decreased to high single-digit in Q3 compared to the decrease of 21% in Q2 led by a strong recovery in China. Support revenue growth was very solid in Asia, except for India. China, the home for many of the larger transaction in Asia during Q3 spanning transportation and mobility, high-tech, aerospace and defense and marine & offshore. For China, Q3 display greater depth of all three of our customers' engagement model seeing solid growth compared to Q2 where direct sales led. Turning now to Europe. It has a much better performance in Q3 compared to Q2. Europe software revenue increased 10% in the third quarter compared to a decrease of 4% in Q2. Similarly on an organic basis, it returns to growth at 2%. Relative to our planning and in the view of the pandemic, our five geos performed well. The best performing geo were France, Southern and Northern Europe. We had a good dynamic with 3DEXPERIENCE. We stopped deals in high-tech, transportation and mobility, aerospace and defense. The Life Sciences deals with Medidata, we are also among the largest transaction of the quarter in Europe. In the Americas, software revenue increased 46% in Q3. In total, with a strong contribution from Medidata. Similar to the second quarter, North America had the most deals in the top 20. On an organic basis however, it's software revenue decreased 2%. Moving to a view of our software revenue by product lines, we saw a quarter-to-quarter improvement of the whole across all the three product lines. Specifically, industrial innovation software revenue decreased 2% in Q3. ENOVIA had a strong quarter with the overall software growth of 4% and the double-digit license software growth. Mainstream innovation displayed strong improvement compared to Q2 with the software revenue growing 9%. Underneath this 10% growth for SOLIDWORKS. Driving this revenue performance was growth in recurring revenue as well as much improved license software performance. This improvement were visible in a number of geo around the globe. In Life Sciences, Medidata to total revenue was up 17% in the quarter on the comparable basis, with a solid operating margin performance, and an improved cash flow from operations. The third quarter was an active one with a number of mid-tier duals [ph] signed with its largest customers beyond their par value. Some of them based upon the estimate start dates will begin to benefit us in 2021 and thereafter. It's also a quarter with a strong new customers acquisition, its customer base has grown 16% year-over-year driven by patient cloud as well as a great product line. Zooming in on a comparison of our revenue and operating margin results, let me share several takeaways. First on the revenue side, we came in at EUR170 million, EUR40 million below the midpoint of our estimate French with a higher than expected currency headwinds of EUR14 million and the lower services revenue of EUR23 million adding to the EUR37 million of the EUR14 million GAAP. Software accounts for EUR3 million. On the operating margin we made up for this with our core operations delivering 160 basis points higher contributions along with about 40 basis points above plan from recent acquisitions. Currency had a 10% basis point negative impact, and as a result we are reporting a non-IFRS operating margin of 28.2% compared to the mid-point target of 26.2%. On an organic basis, our operating margin was stable year-on-year despite the volatility in services activity. These achievements reflect our ability to adjust quickly in the quarter to the challenging circumstances. And at the same time, continue to invest and to see both our customs. Our operating cash flow for the first nine months was EUR1 billion level with a year-ago period. Contract liability total for EUR1 billion [ph] - EUR40 million, up at about 5% in constant currency and perimeters. DSOs remained stable on a constant perimeters basis. Our cash, continued to grow, now EUR2.5 billion at the end of September from EUR1.45 billion at December 2019. This translates to EUR561 million improvement in our net financial position year-to-date. Moving to our outlook. This is relatively straightforward discussions. There are three takeaways. First, we are confirming our 2020 non-IFRS EPS range of EUR3.70 to EUR3.75 we shared in July. Thanks to the resiliency of our stringent software revenue and the saving programs we have put in place. Currency is a negative factor by EUR0.03 which we compare with an equal improvement from operations. Second, we are adjusting our revenue growth range by 1 percentage point to 11% to 12% from 12% to 13% in constant currency. We reflected a lower US dollar in the fourth quarter perspective, from $1.15 to $1.018, hence a negative impact of about EUR15 million on our non-IFRS revenue. Services, non-IFRS revenue should be lower in 2020 by minus 9% and minus 8% to reflect services volatility; this represent a EUR16 million [ph] impact. For software, we continue - we confirm our recurring revenue growth perspective for 2020 of about 26% to 27%. For licenses, we see a similar trend in Q4 as in Q3. And on a reported basis, this translate to a revenue range of about EUR4.44 billion to EUR4.565 billion for 2020. So we increased our saving plan during Q3, expanded from EUR117 million, EUR140 million. To be clear, we continue to maintain our targeted level of investment in research and development and we will be doing hiring in Q4 preparing 2021. We have outlined in the morning press release and presentation our guidance framework for Q4 and 2020. Wrapping up, let me say that we look forward to speaking with many of you at our virtual Capital Markets Day scheduled next month on November 17, and we will be beginning at 2:00 PM Paris time. I think that's it for me. Then, I would like now to take and maybe answering in your questions.
Operator: Thank you. Ladies and gentlemen, we'll start the question-and-answer session. [Operator Instructions] And we take the first question from the line of Neil Steer of Redburn. Please go ahead, your line is open.
Neil Steer: Afternoon, and so I just got a couple of quick questions if I may to Pascal, and firstly on the services revenue, you obviously spoke earlier on about some reallocating some of the resource to work with your strategic partners. Can you give us a sense how many individuals or head count, we're involved in that, directly to that for example with the Medidata services, we're not significantly part of that? It looks as though the underlying services revenue, and something in the range of sort of 35%, 40%, and is that a correct calculation? Can you roughly quantify the head counts involved?
Pascal Daloz: Hi, Neil, Pascal speaking. Again we have almost 300 people on the bench right now over more than 2,000 people. So clearly not all of them allocated to the - to support the strategic partners. But at least more than half of them.
Neil Steer: Okay. And just a couple of other quick ones, the gross margin software or products overall just above 90% will be the lowest cycle and then for some while, can you comment on the pricing dynamic as you move through the third quarter and any perhaps discounting that you may have decided today. And then the final question is on the other items in the P&L, which I presume is sort of the collection of the exceptional items of 17 million in Q3. Now just below EUR50 million for the year to date. And can you just give us a rough breakdown what those expenditures were 4 including any restructuring and where you think that line item may be for the full year. Thank you. Okay. Let me give you the gross margin, I mean there is no conditions with discount policies. I can 5 touched on the contrary, when he said at that time, we try to keep the price and delivered it should be the reason maybe you perceive the gross margin being part of the year, slightly below, it's because the percentage of the revenue coming from the cloud is higher and it's specifically due to Medidata; that's probably the reason why you have this perception. Related to the second question, make sure to understand what is behind the question you have.
Neil Steer: Sir, I'm just trying to get a feel for an understanding of what proportion of those charges were sort of restructuring-related and were possibly whether that debt for the year or what those actions will increase or will continue as we go into the fourth quarter.
Bernard Charlès: Right now, we did not structure. I mean that's a commitment we took at the beginning of the year that we will keep all the workforce we have for one single reason because this is difficult to hire people in our industry and we want to have [indiscernible] when the market will be back. Clearly, we do - you should not anticipate some restructuring costs. The only thing to do if you look at the impairment. There is maybe one thing. I will explain. Yes, you're right. I mean it's not restructuring. In fact, as part of the condition we are giving for the people to be retried, we offer the option for them to leave earlier. It's few years before. As you may know, it's something which is important for us because we have to - ensure the transition from one generation to another one so that's the reason why we have put the system in place and it's a system we have specifically for France. That's not a big deal. You could consider that you will still have some impact next year probably on a limited basis because the vast majority of the program was considering being this year and maybe we will have the candidates being eligible for next year.
Neil Steer: Okay, that's great, thank you very much.
Bernard Charlès: You're welcome.
Operator: The next question is coming from the line of Jay Vleeschhouwer from Griffin Securities, please go ahead.
Jay Vleeschhouwer: Thank you. Hello Berand, Pascal and François. A few questions as always. Pascal, let me start with you. Over the summer when we spoke you agreed with the expectation that in 2021 3DX would represent the majority of new PLM license revenue as you always defined it. Is that still your expectation? As that percentage increases and crosses the majority - into the majority, what are the implications, if any, for margins and or services utilization as a result of that transition? Then obviously some more questions.
Pascal Daloz: Okay. Let's go one by one. If you take the direct sales force, the direct revenue we do, it's already the case on the vast majority of the license growth is coming from the 3DEXPERIENCE platform and it has been the case almost for the last 18 months. When you have some discrepancy to a certain extent, it's for the indirect sales channel, whereby for SOLIDWORKS is just starting, with the new generation of SOLIDWORKS and the pro-by [ph] approach, which consist to connect the large interface with 3DEXPERIENCE platform. You could expect this trend to accelerate in 2021, obviously in 2020. And for the second indirect channel, the one selling the processes, we are already, if I remember, it's a little bit less than the south of the new license just coming from the 3DEXPERIENCE platform and the reason is because, this channel is addressing the supply chain and we still have a large these five installed base, and we are against be with the pro-by [ph] approach, which is a way to smooth the transition to the next generation of catchy, as well.
Jay Vleeschhouwer: Okay. For you, Bernard or Pascal, let's talk about the platform in the SOLIDWORKS space, which you've said more than once is the highest priority or executable for the SOLIDWORKS business. The question is, what is your ambition for how large a business that might be? Right now, you're generating, if my math is right, over EUR500 million a year in recurring revenue just for the core CAD business, on a base of that's rapidly approaching 600,000 active seats. So assuming some reasonable attach rate, I mean, could you expect that the eventual platform revenues in the SOLIDWORKS space might be similar to the current base of recurring revenue just for the core CAD business?
Bernard Charlès: It's clear that - first of all, the 3DEXPERIENCE platform that is connected with the SOLIDWORKS users and SOLIDWORKS community is cloud only. Only specific very large customers having multiple user Dassault system solutions might be on-premise or shortly on, what we call, edge cloud DDG cloud. Most of the market where SOLIDWORKS is going to be cloud-based 3DEXPERIENCE, number one, in that context, we expect over time every user of SOLIDWORKS to use what we call the collaborative environment or 3D swing on the cloud. It's EUR37.5 per user per month, for our collaborative integrated environment, it's very competitive and we don't see any obstacles for this to become the replacement of so many unsecured tools that they might be using those days, like Dropbox [ph], providing an environment where collaborative environment is fully integrated. So, that's clearly the plan, not the dream. It's the plan and we see this happening to a point where even there is AutoCAD there, we have customers now, so gross customer while also sometime using AutoCAD while managing the AutoCAD data with 3DEXPERIENCE platform. We have plugins for that. So, the second aspect is the expansion with new roles, not new capabilities, new roles, new mid-tier, if you wish. We have seen a high interest with SIMILIA WORKS, with ENOVIA WORKS, that was referred in our presentation this morning, work for SOLIDWORKS desktop users. And also, as you know, we have a full new range of portfolio, which are red portfolio, the 3DEXPERIENCE works, it's the experience of SOLIDWORKS, namely 3D Creator Swedish shape on reserves which are really native to the platform, which means web-based mobile based providing a comprehensive environment for all these powerful community of desktop SOLIDWORKS users. So, I think we've built on a quite elegant growth path for the vibrant SOLIDWORKS desktop user community. And I will also conclude with a remark, which is the following - - a number of start-ups in the EXPERIENCE labs are in the new start-ups, in new categories of companies, are also adopting the 3DEXPERIENCE. We see this has becoming mainstream, it's not at all the downsizing of large-scale customer. The 3DEXPERIENCE platform on the cloud with mobile provide a very affordable efficient on viral for collaboration with data awards on semantic awareness basically to be shot. So, it's very core to the video SOLIDWORKS is what had on deal sort now is building older features for the portfolio natively on these 3DEXPERIENCE platform itself.
Jay Vleeschhouwer: A couple of last questions. Late in the quarter, this is a life sciences question, BIOVIA had a virtual conference, which was pretty interesting and there were references, for example, to the adoption of 3DX in life sciences and even the application of general design to pharma development. So, that was interesting, the question is, could you update us on the coordination internally within DS among BIOVIA, Medidata, SIMULIA and DELMIA, that's something you spoke of last year here in New York at the meeting. And then, perhaps my final question on cloud, you spoke this morning in the morning webcast about how DS would be re-profiling, or the profile of DS would change. In the context of cloud or cloud infrastructure, how large or much larger do you think your infrastructure might be over the next number of years? Today, the DS verticalized cloud infrastructure is ex, where would you be two, three, four years from now in terms of multiples for your infrastructure?
Bernard Charlès: Well, first of all, the 3DEXPERIENCE is architected for cloud first, on mobile, then major by [ph] on-premise or what we call cloud on the edge, dedicated to customers. That's the case for everything we do. The 3D EXPERIENCE platform is not a PDM platform, it's a collaborative platform that integrates community, conversation, 3D ways to understand or navigate things, it's very complementary to the old way of doing PDM processes. It's really the base for everything we do. So all the BIOVIA platform solution, only DELMIA platform, I presume, all are going to be native 3DEXPERIENCE on the edge connected, what we call by [indiscernible]. When it comes to Medidata, it's a data platform at first, it's not a modeling platform. So we are connecting the data platform of Medidata, we've deliberately [ph] platform and simulation platform of 3DEXPERIENCE and we think this is relatively easy to do. And finally, because of cyber security we believe we will continue to have a cloud environment, which is going to be absolutely verticalized for the application we offer, for the Solutions process on roles we offer. I don't believe cyber security will be solved with horizontal platform. So, in our world, for what we do, which is mission-critical for so many companies, it's going to be a full vertical integration using our own infrastructure, all in current situation for the time being, Amazon as a complementary on Valener [ph], but we have also edge cloud, which means cloud managed by us on run Incyte customers on environment for security reasons, but we will not delegate the administration of the SME. It will be provided directly to customers, because the nature of customers, we acquired that and I don't think many of them will never be solving the cyber security resolve this kind of approach, which we think is a very differentiating.
Jay Vleeschhouwer: Thank you.
Operator: Next question is coming from the line of Jason Celino from KeyBanc Capital. Please go ahead.
Jason Celino: Hello, thank you for taking my call this morning. Bernard, when you mentioned the SIMILIA WORKS or [indiscernible] or the desktop SOLIDWORKS users, it seems like you're getting some good interest here. What were those type of customers using before on the simulation and maybe the PLM side, or what type of customers are you targeting for these?
Bernard Charlès: Thank you very much for this question. I think it's a very good question to understand the dynamic. Basically today it's not easy for SOLIDWORKS desktop user to really integrate our simulation-specific desktop-based environment. So what we have decided with the team is that every single to simulation to collaboration to project management, ENOVIA WORKS, SIMULIA WORKS for simulation, will be cloud-based only. So, the way it works is, you subscribe to a 3D-experience environment, you buy online a role for simulation and when you want to simulate SOLIDWORKS design data, you just upload the data and run the simulation. So, it's not the opposite, if you upload, run, get there is - and keep going. And that's the way we're going, so more on more, we see desktop users using online [indiscernible] service to do things in an easy way, that are also why it's quite complex for them to do, they need to have interfaces, they need to do configuration management, they usually don't know how to do it on 5, is not easy for that. So, all the SOLIDWORKS base of this stock customer are going to be offered SaaS-based native 3D experience services that can consume on swivel [ph] design-based SOLIDWORKS desktop to do all those things, collaboration, project management, simulation.
Jason Celino: Great. One more for me, the comment in the beginning that was discussed on the call earlier this morning, the comment of a slower-than-expected recovery. I think at least maybe not returning to normal for the end of Q4, but relative to the Q4 software guidance, what products or geographies, are you seeing this more moderated pace?
Bernard Charlès: Okay. I was convinced that I must have answered the question this morning. Now can we do it again? So if you look at the trends again, in Asia, almost seeing - at least for sure in China, in the Asia-Pacific south and expanding to Korea, we see the recovery. I mean, in China, we are almost - we expect to be at the end of the year or most where we used to be before the crisis. That's true for India, Kelly - wherever, they are still are in lock down and we reserve for until the end of the year. In Europe, Europe is split into different pieces, the sales part is really improving significantly the situation. We suffer a lot in Italy and Spain, as well as France in Q2. Q3 has been much better, did not of Europe, we were less impacted in Q2 and to a certain extent, the performance is okay for Q3 and compared to the situations and we are a little bit - I mean the soft net is coming from the German, and specifically, because the transportation and mobility, as the supply chain, has been impacted by the drop of the value. This is really where the containment is coming. Russia is going well, by the way, in Europe. And Americas, it's almost like Asia, LATAM is really suffering and we do not expect to have a recovery in Q4. And Americas, the US has been almost in the same position as Europe in Q2. So, the vast majority of the states were in lock down and we open - we as we hope to see the site reopening in many states starting in Q4. So, that's probably where we have some OpEx [ph] compared to Q3.
Jason Celino: Great. Really appreciate the added color, thank you.
Operator: The next question is coming from the line of Stefan Slowinski from Exane BNP Paribas. Please go ahead.
Stefan Slowinski: Yes. Hi, thank you. Good afternoon. Thanks for taking my question. Just to follow up firstly on that question, Pascal, just around the macro environment and that shift that you saw in the services strategy that took place during the quarter. I'm just wondering what happened during the quarter? Because at the end of July, you guided for services to be up to 10%, and then it ended up being down 15% and it sounds like a lot of that was a proactive change in your approach to the market that must have been in reaction to something that changed in the demand environment, so was it just a question of if you got into August and maybe early September and things just weren't improving as much as you expected? And then, if we look at Q4, obviously you've maintained a cautious view on Q4 and aren't really seeing a significant improvement, but you're saying that this new flexible approach toward services won't extend beyond December. So, does that mean you have some visibility in terms of spending starting in January from some of your large customers and that's what gives you some of that confidence that that won't extend beyond the end of the year? I'm just trying to get an understanding of the cadence of what you've seen in terms of those demand trends. And then, as a second question to Bernard, just to complement what you were saying earlier, I was just wondering if you could give us any update on the progress in DELMIA WORKS? Where are you seeing success, with what types of customers, and how do you see the competitive environment for that product, more specifically? Thank you very much.
Bernard Charlès: Thank you. Pascal?
Pascal Daloz: Okay. So in fact, you have two questions related to the services between what we've said in August and what we are presenting today. We have a difference, it's because in between Bernard and I, we took the decision to support some strategic project we have. We have people on the bench, I think it's much better for them to be allocated to the customer, it's a valuable resource. Many of our customers are suffering right now and I think it would have been a mistake not to do it, one, because on one hand we are enforcing the customer relationship with them. We are loyal to them. And two, because the services person, the best is for them to continue to work and to deliver what they are supposed to do. I mean, this is a way they keep their knowledge and skills. So I think, consciously we took the decision to do it, also because we know how to absorb these costs without having the revenue in front of. The idea we have, and probably the reason you are questioning the timing is because in August, usually we start to think about 2021. We are just waiting December to think about it. And at that time we say - - okay, what would be the drivers for 2021, and it became very obvious that the long-term partnership we have with those customers deploying massively to 3D platform will be one of the lever for 2021. And we wanted to preserve this, that's the reason of the timing, nothing changed in terms of really the economic environments. And the last point, which I commented this morning, maybe it's the new signing, we have to wait for the end of the quarter to understand the consequence, even on the funding, and especially for the [indiscernible] projects. The one we do usually in the month, at least in the quarter, and we see some decrease here. That's probably the only point where it was not fully anticipated at that time. Now, do we expect to continue to have the same strategy in 2021? No. And while we have a different view, it's because we have seen the license, even if we are not back to the normal, but the situation improved significantly and the revenue is intrinsically linked to the life of the growth paid for the services. So, if you correlate the two, we are minus 21 for organic growth for Q3, which was on the most organic growth, we had decrease we had in H1 - from the license. So, you have roughly usually one or two quarter lag time between the two. That's the reason why, Stefan, we are moving along those lines, for 2021.
François-José Bordonado: Related to the DELMIA WORKS, first of all, I think we continued to be convinced that it was a right move. We have seen - we better understand the categories of companies where SOLIDWORKS, DELMIAWORKS Association brings significant value and we are focusing on these things, especially in plastic [ph], and where companies doing modeling, design modeling and production of plastic equipment and there are a lot of those mid-sized companies. So we have seen good results. I don't have in mind, Pascal, the result for Q3, specifically…
Pascal Daloz: Plus 6%.
François-José Bordonado: Plus 6%, which for our sector of the economy, which are those small mid-sized companies, be separate in many, many areas of the world, we thought we saw that but it's not the digit, but it's not bad, it's an increase of 6% and we are increasing the quality of engagement with the teams. So, they can target the right customers and provide quickly the value. So, I still think very positively about the fact that this is bringing quite interesting EFB [ph] functionality, MES functionality, to those types of companies, which was a wise count of four existing expansive systems.
Stefan Slowinski: Okay, thank you very much.
Operator: There are no more questions at the moment. [Operator Instructions].
Bernard Charlès: We have no more questions. Thank you very much all of you. I know that the explanation this morning on the call were very, very well attended on the presentation. Thank you. We are always there for you to open with high level of integrity to the concerns of questions you have. We have committed for long-term stable resilient businesses; this is what we do, undertake. Our customers love this. So that's the way we're going to continue. Thank you very much and have a good day.
Operator: That does conclude our conference for today. Thank you for participating and you may all disconnect.